Hinda Gharbi: Good morning, good afternoon, and good evening to everyone. Thank you for joining us for our full year 2025 results. I'm joined by Francois Chabas, our Group CFO. In keeping with our solid plan execution, 2025 delivered sector-leading organic growth and strong margin progression. In the second year of our LEAP 28 strategy, we delivered results fully aligned with our ambition to accelerate growth and enhance returns. During the year, we implemented our new organization, which is now accelerating strategy execution across our geographic platforms and product lines. Our results reflect the strengthened portfolio, the tangible impact of our performance programs and efficient capital allocation. I'm proud of our leaders and their team's contributions across the world and of the consistency in delivery in a fast-changing market. Let me start with our financial highlights for the year. 2025 was the second year of our LEAP 28 strategy, and we continue to gain traction across all pillars. We delivered 6.5% organic revenue growth, including 6.3% in the last quarter of the year. Adjusted operating margin of 16.3%, up 32 basis points year-on-year and 51 basis points at constant currency. Adjusted earnings per share is up 2.8% on a reported basis and 9.2% at constant currency. Free cash flow of EUR 824 million with a very strong 107% cash conversion. At constant currency, we delivered double-digit shareholder returns. For 2025, we will propose a cash dividend of EUR 0.92 per share, up 2% versus last year. It is fully in line with our 65% payout ratio. Finally, as we have done in the last 2 years, we will be issuing a new EUR 200 million share buyback program to increase shareholder returns. Moving now to our revenue performance by business and geography. Across the portfolio, our organic growth was supported by strong momentum in energy, the continued buildup of digital infrastructure and rising demand for corporate and risk -- enterprise risk assessment solutions. This sector-leading growth reflects the attractive mix of our strengthened portfolio. Industry, Certification and Marine & Offshore delivered the strongest performance, growing from high single digit to double digit organically. The rest of the portfolio grew in the mid-single-digit range with some activities benefiting from very powerful structural drivers. In B&I and Infrastructure, data centers were up 30% organically year-on-year. In Industry, energy-related activities were up 13.9%. In Commodities, Metals & Minerals were up 9.2%. From a geographical perspective, strong organic growth across all regions. The Americas grew by 4%, supported by sustained energy spend and expanding data centers. Our momentum in Europe continues with 4.1% organic growth, largely above GDP growth. Asia Pacific reported 8.2% organic growth with broad-based expansion across Asia and Australasia. And our fastest-growing region was the Middle East and Africa, up 16.6%, benefiting from major infrastructure programs and sustained energy investments. I would like to report now on the progress of CSR -- of our CSR programs. In health and safety, continuous prevention programs further reduced our accident rate versus last year. On decarbonization, we further reduced our Scope 1 and 2 emissions by 7% year-on-year. This is fully in line with our science-based target initiative expectations. For gender diversity, steady progress with our ongoing program. In 2025, we improved or maintained all our major nonfinancial ratings, confirming Bureau Veritas's leadership. We raised our EcoVadis score to 80 out of 100 and obtained the top 5% distinction in the S&P Global Sustainability Yearbook 2026. Let's now move to the business highlights. I will start with Marine & Offshore. The division delivered a very strong performance in '25 with 14.3% organic growth. This marks the third year in a row of double-digit organic revenue growth. These results were driven by the ongoing renewal and modernization of the global fleet and the expansion of specialized vessels. Looking at it by segment, new construction delivered high double-digit growth from accelerated shipyard deliveries and capacity expansion, particularly in China and Korea. In 2025, we secured 14.4 million gross tons of new orders, bringing the backlog to 33.5 million gross tons, up 23% year-on-year. Core In-service achieved mid- to high single-digit growth, largely driven by increased volumes and some pricing. At year-end, we serviced more than 12,300 ships. Marine & Offshore continues to invest in new solutions to support our clients' energy transition. In Qatar, we opened a global gas center of excellence, supporting LNG projects worldwide through our global technical network. Looking at our Agri-Food & Commodities. This business delivered 3.7% organic growth this year. In Oil and Petrochemicals, performance remained resilient in challenging market conditions. Non-trade activities grew strongly, supported by increased demand for biofuels, marine fuels and sustainable aviation fuel and also from new lab capabilities. Metals & Minerals delivered high single-digit organic growth, driven by increasing projects in copper and gold and by the expansion of our lab network, specifically in Chile. In Agri-Food, we are completing the pivot of our portfolio with the sale of our food testing business in 2025. This divestment will be accretive to the divisional margin on a 12-month basis. In Industry, the division delivered 8.9% organic growth in 2025. We are a key player in the industry segment, a [ EUR 1.4 billion ] division, predominantly exposed to energy and energy adjacent sectors. This performance reflects robust market dynamics, supported by strong energy sector investments as countries continue to secure energy supply, decarbonize and transform their energy mix. The evolution of the portfolio is ongoing with acquisitions supporting the new strongholds of renewable and low-carbon energy services. By segment, Oil & Gas delivered double-digit organic growth, driven by new projects, particularly in gas and in major resource holding regions. Geographically, the Middle East, Africa and Asia have sustained investments in new oil and gas fields. Power & Utilities maintained double-digit growth. This was supported by investments in renewables and nuclear as electricity demand accelerates on the back of data center expansions and national electrification programs. Geographically, strong momentum across North America, Asia Pacific and the Middle East. In terms of transition services and green objects revenue streams, in the Middle East, we entered into a memorandum of understanding with Masdar, an Abu Dhabi clean energy company to help shape renewables and green energy standards in the region. We were also awarded a contract to support a client's first renewable energy project, combining solar generation and battery energy storage in the United States. Moving on to Buildings & Infrastructure. We delivered 5.2% organic growth in 2025, including a strong 8% in the fourth quarter. Today, B&I represents EUR 2 billion in revenue, a clear leader in the sector. 2025 was a strong year for our portfolio expansion with successful integrations, particularly the APP Group in Australia and further portfolio streamlining, including the divestment of noncore construction technical supervision business in China. Growth for B&I at constant currency was at a high 11.6%. Our CapEx activities delivered high single-digit growth, fueled by data center commissioning projects across the U.S., Europe and Asia and supported by recent acquisitions that are already accelerating organic growth. OpEx activities remained resilient, underpinned by the structural need for environmental measurements and energy efficiency audits. Infrastructure delivered steady growth. It now represents 20% of the divisional revenue. This was supported by government-led spending in Europe and major rail and terminal programs in North America. Major infrastructure investments are also ongoing in Asia Pacific and the Middle East. We are expanding our services for green objects in B&I. We secured a multiyear contract for a new battery gigafactory in Spain. In transition services for this division, we delivered a large-scale decarbonization program for a European fitness chain. Moving to Certification. In this division, we delivered a strong performance in 2025 with 7.9% organic growth for the year, with an acceleration at 8.4% in the fourth quarter. The certification business benefits from increased needs for assurance, decarbonization, supply chain resilience and cybersecurity solutions. This business represents many opportunities to innovate and create new schemes for customers as they pursue their own business plans. A number of acquisitions were completed in the last 18 months are expanding this portfolio in sustainability and cyber. Growth at constant currency in certification was up double digit. Looking by segment, QHSE, quality, health, safety and the environment and Specialized schemes grew at a high single-digit rate, supported by robust activity in most regions and very strong demand for food safety certifications. Sustainability and digital certification recorded double-digit organic growth. This was fueled by rising demand for carbon and greenhouse gas verification, supply chain ESG audits and upcoming regulatory requirements such as the Carbon Border Adjustment Mechanism. During the year, we secured several important transition services contracts ranging from large-scale ESG audits for a global aerospace manufacturer to a decarbonization road map for a major Middle Eastern energy company. We also secured a contract to support the cybersecurity work stream for autonomous military land vehicles for the European Commission. Lastly, looking at Consumer Products Services. The division delivered 3.7% organic growth in 2025, including 2.6% in the fourth quarter against very tough comparable. Performance was supported by accelerated sourcing shifts away from China with South and Southeast Asia leading growth, while Latin and Central America began to benefit from recent investments. This division is navigating a diversification strategy for the last 2 years, culminating in the acquisition of 9 companies. These additions contributed to the expansion of our services in new geographies, in new sectors and with new services, helping essentially pivot the portfolio circa 10% towards higher growth elements. In January, we completed the acquisition of SPIN360 in Italy, strengthening our sustainability, testing and certification capabilities for luxury brands. By segment, Softlines, Hardlines & Toys delivered low to mid-single-digit organic growth with a front-loaded first half of the year and a normalized half 2 as sourcing shifts gradually took place. Supply Chain and Sustainability Services achieved double-digit organic growth, driven by strong demand for supply chain resilience services and social audits amid sourcing changes in Asia. For the Technology segment, it delivered stable organic growth, supported by diversification with contribution from acquired companies offsetting softer wireless and automotive activities. On the electrical consumer goods and appliances front, sourcing shifts enabled growth in our Central and South American business, contributing to a robust performance. Finally, transition services continued to expand as we supported client sustainability programs, including full decarbonization support for a leading sportswear brand and a large-scale social audit program for a global technology company, therefore, reinforcing transparent and responsible supply chains. I will now hand over to Francois for the financial review. Francois?
François Chabas: Thank you, Hinda. Thank you very much. Good afternoon to everyone. So let me now turn to our financial performance and to the sustained momentum we delivered in growth and in returns. So as it has been already briefly presented to you, 2025 was once again a solid year for the group, marked by robust and broad-based organic revenue growth, 6.5% across the year. This growth translated into strong profitability with a reported adjusted operating margin of 16.3%, up 32 basis points in a reported manner. At constant currency, we expanded our adjusted operating margin by 51 basis points. We take the advantage of higher operating leverage programs and continued progress on functional scalability initiatives. Bottom line, the adjusted EPS reached EUR 1.42, up 9.2% at constant currency. The company will propose as a consequence, a further increase in its dividend at EUR 0.92. It is payable in full in cash as usual. Turning to cash generation. Free cash flow amounted to EUR 824 million. It includes a couple of one-off effects linked to the disposal of our food testing business, notably the tax cash out on the capital gain. Excluding this transaction, free cash flow increased even by close to 4% year-on-year. On the next page, we sum up a little bit the last few years when it comes to -- since the start of our plan. So as you've seen, we continue to deliver consistently on the long-term objective. For several years in a row, we have delivered consistently at or above high single-digit revenue growth at constant currency each and every year. This is a mix of organic growth and a positive net scope effect from acquisition and divestment together. It reflects our commitment to active portfolio management. Since the start of the plan, we have rotated almost 10% of our portfolio, taking into account both acquisition and divestment combined. In terms of profitability, the ongoing execution of our program produced measurable improvement in operating leverage and functional scalability. This led to meeting expectations for both reported adjusted operating margin as well as constant currency margins. On the cash front, right below, cash conversion exceeded expectations, reaching 107% this year, mainly driven by a further reduction of working capital as a percentage of revenue by another 100 basis points compared to 2024. And as you see, we've delivered 3.7% at the end of '25. Returns now expressed at constant currency, including dividends, adjusted earnings per share and the benefit coming from the EUR 200 million share buyback program have met or exceeded projections each and every year. Including negative foreign exchange impact, returns were maintained at high single-digit level. Let me now deep dive into the revenue for '25. We delivered almost EUR 6.5 billion in '25, corresponding to a 3.6% growth on a reported basis. Organic stood at 6.5%, supported by strong business fundamentals and increased demand in energy, digital infrastructure and risk assessment solutions. Bolt-on acquisition closed in past quarters contributed 2.9%, almost 3% to the growth. This was partially offset by the divestment of the food testing business as part of our active portfolio management. Factoring in those M&A component together, the net scope effect was 0.8% on a full year basis. Currency fluctuations negatively impacted revenue by 3.7%, mainly due to the euro strength against most currency, especially U.S. dollar, Australian dollar, Canadian dollar and the renminbi. Now if we take a closer look at our business and how they perform in '25, you see here both the organic growth and the scope component of the growth. All divisions grew well with several delivering very strong performance. Including scope effect, 4 businesses posted double-digit growth, reflecting both solid organic traction and the impact of our disciplined M&A bolt-on executions. Let me briefly walk through those segments. M&O, Marine Offshore delivered double-digit organic revenue growth. Industry grew high single digits, powered by strong global demand for energy solutions. Oil and gas, renewable, nuclear all delivered double-digit growth in 2025. Building & Infrastructure and Certification also reached double-digit growth at constant currency, boosted by last year and this year acquisitions in sustainability, cybersecurity and infrastructure, which contributed, respectively, 6% and 3% to the growth of each segment. Consumer Products, we just touched upon, delivered mid-single-digit growth at constant currency with a solid organic performance of 3.7% and a scope contribution at 1.7%. Finally, Agri-Food & Commodities posted low to mid-single-digit organic growth, mainly driven by Metals & Minerals, partially offset by the divestment of our food testing activity, which is now fully completed. So overall, this broad-based performance highlights the strength and the active pivoting of our portfolio. It's part and parcel of our LEAP 28 strategy and commitment to the investors. If we now turn to the margin bridge, -- before going to the basis points and the percentage, let me share with you that for the first time in [ Veritas ] history, we crossed the EUR 1 billion adjusted operating profit mark, which we are all very proud collectively. On a reported basis, we delivered a strong 32 basis point margin improvement, closing the year at 16.3%. It is another year of disciplined execution and operational leverage. Organically, we delivered a strong 74 basis point improvement, driven by operating leverage, the benefit of our 2024 restructuring and tight cost discipline. Scope had a negative impact of 23 basis points, reflecting the investment made to scale our newly acquired businesses. At constant currency, our 51% margin uplift is very solid. Aligned with our LEAP commitment, we aim at delivering consistent margin progression year-on-year. If we look now at our divisional margin performance for the year '25, -- starting with Marine & Offshore. We held a strong margin at 23.4%, essentially stable year-on-year with organic improvement bringing 67 basis points of improvement and offset by currency headwinds. Agri-Food & Commodities delivered a notable uplift to 15.1% of margin, up more than 100 basis points, driven essentially by very strong organic improvement, plus 122 basis points and the continued dynamic of our Metals & Minerals segment. Scope-wise, we expect the full benefit of the food testing divestment to positively impact 2026 as this actually divestment took place throughout the year 2025 in different momentum. Building & Infrastructure posted a strong increase to 13.6%, up 81 basis points. Robust organic leverage, plus 138 and the first sign of our performance programs are starting here to materialize. On the same note, Consumer Products continued to strengthen, reaching 22.4% of margin, here again, supported by 55 basis points of improvement on an organic manner. On the other side, Certification ended at 18.2%, down 138 basis points, reflecting investment to scale our sustainability and cybersecurity acquisitions. Organically, however, margins remained broadly stable. And finally, Industry closed at 13.9%, down 52 basis points, with organic decline limited to 21 basis points. So it is mainly driven by a change of mix due to project delays at year-end. Looking now at other financial metrics. On the bottom line, our adjusted earnings per share continued to grow regularly. It was up 9% at constant currency. This evolution has been driven by the incremental operating profit, up 11.2% at constant currency as well. Net financial expenses increased year-on-year, reaching EUR 116 million in '25 compared to roughly EUR 70 million in the prior year. This evolution is mainly driven by lower income on cash and cash equivalents, reflecting the change in cash levels and decrease in interest rates versus 2024. On the tax front, our adjusted effective tax rate continues to normalize downwards. We closed the year now at 30%, 50 basis points below last year despite for the specialist, the exceptional [ French ] corporate tax contribution that we've supported in '25. Turning to cash generation. Another year of reduction of our working capital needs of our revenue, as you can see on the chart on the right-hand side, [ Veritas ] is now well set below the 5% threshold. Let's remember that not so long ago, the working cap of our revenue used to be at 9% and above. So it reflects our constant attention to free cash generation and to cash discipline in general. Overall, free cash flow amounted to EUR 824 million, slightly below the record level achieved last year. It takes into account some one-off effects linked to the disposal of the food testing business, notably the tax cash out and the capital gain. As I mentioned in introduction, this -- excluding this transaction, free cash increased by close to 4% year-on-year. Now I would like to summarize for you what we have done in terms of capital allocation in '25. First, on M&A, we've invested EUR 162 million in 9 acquisitions and completed 2 divestments in line with our strategy to optimize the [ Veritas ] portfolio. Year-to-date, 2026 this time, we have already added 3 more acquisitions. On CapEx, we stayed very disciplined with a ratio of 2% of our revenue. In 2026, we expect to remain within the LEAP 2028 range and get somewhat closer to the 2.5% to 3% that we had announced during the Capital Market Day. Our leverage is at 1.1x at the low end of our guidance, as you can see. We have significant headroom to accelerate our M&A agenda while returning cash to shareholders at the same time. Speaking of returns, after completing our EUR 200 million share buyback in '25, we are now launching a new EUR 200 million program. This reflects both our confidence in the prospects of the company and the resilience of the business model of Bureau Veritas. So overall, [ Veritas ] delivered another year of strong financial results, and I want to thank all our team for their continued commitment and performance quarter after quarter. With that, I'll hand it over back to Hinda for an update on our LEAP 28 strategy.
Hinda Gharbi: Thank you, Francois. I'll start with a few highlights on the major secular trends shaping our markets. From early on in this decade, megatrends included urbanization. We talked about connectivity and digitalization, energy transition, increased ESG compliance expectations and the gradual evolution at the time of supply chains following the COVID shock. You fast forward to last year, 2025, the picture has evolved. The technology race we are witnessing in this age of intelligence will have a profound impact on reindustrialization and urbanization. In addition, the rapid development of AI and the associated needs in computing capacity and data storage are feeding a massive buildup phase for data centers and all related ships and equipment to take a few examples. This is also creating an unprecedented demand for electrical power. Therefore, energy supply worries are mounting, driving developments of all energy sources from fossil fuels to new forms of energy. Finally, we are seeing a shift for organizations, both private and public, from a compliance-driven approach to sustainability to a risk-based approach that aims to protect their reputation, their brand and their competitive advantage. I believe that these developing trends support a consistently growing and accessible market for our services and solutions. Now from a LEAP 28 strategy execution angle, looking at the portfolio. If you recall, our portfolio strategy is about refocusing on key leadership markets, both existing ones and future ones. It is about an active portfolio management approach. Here, we are gaining traction. Since the start of the plan in '24, we have acquired businesses totaling EUR 279 million in annualized revenue and divested EUR 202 million of noncore activities. These transactions are progressively reshaping our revenue stream. Overall, and Francois mentioned it, after 2 years, we have pivoted circa 10% of our original portfolio mix. From a mix perspective, new strongholds is leading the growth with 19.8% revenue growth at constant currency, supported by both organic momentum and targeted M&A. We're scaling capabilities in renewables and cybersecurity. Second, our expand leadership stream covering our activities in Certification and B&I delivered 9.4% growth at constant currency since we onboarded significant acquisitions in B&I and some in certification as well. Finally, as expected, the optimized value and impact businesses are growing at an aggregate rate of 3.1% at constant currency, reflecting the divestment of our noncore food testing activities. These businesses continue to constitute half of our portfolio today and are essential to our cash generation and baseline growth. Turning now to the performance. And on the performance-led execution side, our performance programs are progressing well, both in terms of creating operating leverage and getting some functional scalability. In line with LEAP 28 road map, our margins have continuously improved over the last 2 years, both at constant currency and as reported. In '24, we improved our adjusted operating margin by 38 basis points. And in '25, we improved again with an additional 51 basis points, both at constant currency. This steady year-on-year improvement is also enabling investments in new production systems and digitalization programs. So in summary, we're pleased with the progress with our performance -- of our performance programs, and we intend to continue on this structural margin improvement path. A third update I would like to share is about our new operating model implementation that is essentially taking -- took place early this year from January 2026. This organization intends to simplify our operating model through the rationalization of our geographical platforms. It will also integrate and connect product lines into the regions. The intention is very clear. It is to better leverage our client proximity to maximize our sales as we consistently scale our product line services and solution. This new structure will allow us to take advantage of our company scale, both from a geographical and expertise perspective. We will also speed up decision-making, capturing additional opportunities and accelerating innovations. We intend to make a step change in growth and performance through increased cross-selling and global coordination of opportunities. To ensure the success of this organization, we have also introduced a new short-term incentive package for managers that formalizes common objectives between different parts of the new operating model. I would like now to spend some time exploring our approach to AI. The role of a third-party independent and impartial organization like Bureau Veritas remains critical to secure trust in any commercial or trade transaction. Bureau Veritas builds on its equity of almost 200 years of trust brokerage. The value proposition of our company resides in its ability to assess physical assets to test actual products in accredited labs and to certify projects and systems with no interference. This is achieved through qualified and accredited experts within a regulatory or quality infrastructure framework. Now we believe AI represents multiple opportunities for the company. We look at them in 2 ways. On the one hand, there are opportunities in existing services. On the other hand, others exist through our new ways of working and new services. First, let me start with the existing services and markets. The buildup of the infrastructure ecosystem to feed AI needs is spurring unprecedented investments in data centers and specialized manufacturing. Bureau Veritas is uniquely positioned to benefit from these investments. We have established a leadership position in data center commissioning and quality assurance and control, working with leading hyperscalers and other growing data center players around the world. The insatiable need for electrical power from data centers is triggering increased investments in all types of energy sources and energy infrastructure. We will benefit from this trend as we build on our unmatched global footprint and capabilities in oil and gas and other forms and expand it into renewables and low-carbon energy. This AI dynamic is also contributing to the development of new supply chains that need to be deployed fast and that must be assessed to manage and mitigate risks. Bureau Veritas has robust expertise in supporting customers as they shift their sourcing and redesign their supply chain. Let me now to the second part and where we see the opportunities. And those are in our ways of working and in creating new services. First, the rapidly developing capabilities of LLM models and Agentic AI are opening new possibilities to transform our ways of working, creating substantial gains in efficiency and productivity. Additionally, these technologies will impact customer service quality, profoundly changing their experience and increasing the stickiness of our services. In Bureau Veritas, we are accelerating the implementation of such technologies. We have been rolling out a new production system and certification since mid-2025. This will be the first product line to be transformed. Second, the integration of AI into customer workflows and organizations requires them to verify and validate that these AI models are fully aligned with their values and policies, compliant with their legal frameworks and respond to their customers and other stakeholders' expectation. Bureau Veritas today is building capabilities for AI assurance to address these needs, especially as the regulatory landscape around AI assurance evolves every day. Finally, Bureau Veritas conducts over 10,000 inspections or assessment of assets, products, projects or systems every single day, generating hundreds of terabytes of data per year. In addition, our experts have a full understanding of our customers' equipment, workflows and assets life cycle. Through this knowledge, we believe there is an opportunity to help them impact their performance. As an example, for our industrial customers, maximizing the uptime of their operating facilities is a major challenge. They manage equipment from different manufacturers and juggle with maintenance priorities. They must optimize the fully integrated system. In combining our deep knowledge of their facilities with the data collected, we can integrate AI technologies to pinpoint vulnerabilities that can then optimize their uptime and their facility performance. This is an exciting journey for us, one we are starting with a sense of positive urgency, and we will be reporting on our progress regularly. Moving now to the outlook and looking ahead to 2026. We entered the third year of LEAP 28 with confidence. Our markets are strong, supported by increased energy investments, rapidly urbanizing countries and a massive digital infrastructure buildup. The ongoing technology and defense race and increasing risk management and mitigation needs are acceleration factors. Continuing our sector-leading trajectory of growth, we expect to deliver in 2026 mid- to high single-digit organic revenue growth, continued adjusted margin improvement at constant currency. As usual, we remain committed to a strong cash flow generation while we deploy our capital allocation program. We will be expanding our capabilities through acquisitions. We will accelerate the integration of AI in our workflows, and we will deploy CapEx in growth markets. Moving to summarize. 2025, our second year of LEAP 28, shows the impact of our strategy and the consistent execution of our plans. We delivered sector-leading growth and strong margin expansion, underpinned by structural performance programs and the ongoing transformation of our portfolio. The secular trends I have discussed earlier are structurally supporting our served markets growth. The energy sector massive transformation, the ongoing and rapidly moving urbanization, the AI-driven buildup of the intelligence infrastructure and the evolving supply chains are feeding sustained demand for our services in this period of rapid change. Our portfolio rotation is also accelerating. Since the start of the plan, we have already rotated around 10% of the portfolio. And in line with our LEAP 28 strategy, we intend to double that in the next 12 months. This is a shift toward businesses with higher growth, higher margin and stronger strategic relevance while exiting noncore activities with limited potential. At the same time, we continue to invest in innovation and in capabilities that enhance differentiation and enable long-term growth. Finally, we remain committed to superior shareholder returns with the dividend increase and the launch of our third share buyback since the start of the plan, we are demonstrating both confidence in our strategy and efficient capital allocation. Before opening the queue for the Q&A session. I wanted to share that we will be looking forward to welcoming you to our Capital Market Day on September 22 in Paris. We will update you on the next phase of our LEAP 28 strategy. Thank you. And now Francois and I are actually are happy to take your questions.
Operator: [Operator Instructions] Our first question today is coming from Annelies Vermeulen of Morgan Stanley.
Annelies Vermeulen: I have 2 questions, please. So firstly, on data centers, which I think saw a strong acceleration in Q4. Was that mainly in the U.S.? Or was it relatively broad-based? And perhaps could you talk a little bit about how you estimate your market share of new data center commissioning? Do you think you have a #1 position in most of your end markets? And how your expectations for data center growth are shaping your growth outlook for B&I in 2026, i.e., can we expect further acceleration? And then second question was just on AI. So thank you for the additional color on AI for Bureau Veritas. I was just wondering if we could put some numbers around this. So when you look at Slide 21, for example, when you talk about performance improvements, where do you think that, that comes through? Do you think it means you can keep headcount flat while continuing to grow mid- to high single-digit organic through productivity improvements? And if you could talk about which divisions or sort of service lines you see the biggest opportunity for those efficiency gains driven by AI, that would be helpful.
Hinda Gharbi: Thank you, Annelies. Thank you for the questions. Look, the data centers, the market itself, the spend, if you look at the spend of the hyperscalers and others, is actually growing double digit in the low teens. We have been growing, and we made no secret about it, double digit, a strong or a high double digit. So the growth has been actually global. The U.S., of course, there's a major spend in the U.S. Europe is also growing. Asia Pacific is also growing. So I would say those are the key top regions with the U.S., of course, having the lion's share of the growth. So data center expectation that it will continue to grow, I would say, double digit on the high end, really high double digit. And I'm expecting that, of course, that will carry part of the growth in B&I. Now B&I, it's no surprise that data centers are boosting the growth in B&I. We were very explicit in LEAP28 strategy, and we made it very clear that part of our expansion of portfolio is to develop capabilities in essentially activities in complex buildings like data centers, like other specialized manufacturing. So it's not a surprise that a lot of that growth is carried by those, and we continue to hunt for such activities. So B&I will continue to benefit from that. But there are also other growth areas for B&I. Infrastructure is growing healthily. We are growing geographically in newer regions, what we call -- what we tend to call emerging markets. The United States is also growing in different activities. And there is a dynamic between the different regions that is contributing to the B&I growth. On the AI side, sorry, you had also another question there. You have multiple questions in the first one, at least. So on the commissioning position, look, we are -- there are very few specialists commissioning and doing QA/QC on data centers. We are the largest player. There are, of course, others who in-source the work, very few and tend to be some EPCs mostly. Very few really data center owners do that because they really need the expertise. So I would say, conservatively say we're the top player in the specialists serving the market. The second question is on AI. Look, we really are very, very, very committed to implement AI and benefit from the efficiency and productivity gain. We think this is -- these are use cases that are very clear. It's a matter of implementing them and scaling them consistently, and I would say, quickly. So in terms of performance improvement, I'm not going to be able to give you specifically right now the numbers, but this is something we are looking at and working on very closely. And the reason we are very, in a way, strong and bullish about the value is the fact that today, we're seeing many use cases that are very clear, right? On a baseline level of AI, you can automate so many tasks that our people spend time on. That's gains in personal productivity. It's also gains in full-on productivity and that can actually benefit the customer in terms of turnaround time on their request or on their service. So the productivity and the efficiency we are envisaging today could apply to many businesses. I gave you an example of certification only because it's a business that we have profound -- we're profoundly changing how we will work there by massively investing in a new production system and reviewing systematically all the workflows and automating them. We are, for example, today, we have a very, I would say, near-term to midterm target to have over half of our certification admin work essentially automated, right? So there are many, many things we're working on. But certification is an example. I can give you many others. Inspection services is a great example where we can use AI for efficiency and productivity. And the intention here is because we're pursuing growth, -- this is about doing more with our people. It's really about freeing our people so they can spend more of their time on productive tasks so we can grow our business, grow our volumes very, very efficiently.
Operator: [Operator Instructions] We'll now move to Suhasini Varanasi of Goldman Sachs.
Suhasini Varanasi: Just a couple for me, please. One is on margins. Given that you've completed the disposal of the food business, can you help us understand the scale of the margin benefit in that particular division for 2026? And similarly, when we think about the drag from M&A scope effect in certification, how should we think about the drag from that scope effect in '26? When does it, let's say, fall away the effects in that particular division? That would be the first one. And I think just on your Marine division, -- can you help us understand what your expectations are for 2026, please? You've obviously had a very strong double-digit growth year in '25. I know we've talked a lot about normalization of growth. Just wanted to get the latest sense here.
Hinda Gharbi: Good to hear from you, Suhasini. I'm going to let Francois comment on the margins, and then I'll answer you on Marine.
François Chabas: Suhasini, so on the food testing that we've divested, so this business was having a margin lower than the group average. I could answer to you very simply, but actually, the answer is a bit more tricky. We've divested this business in tranches. We've had actually 11 different divestments, 11 different countries, to speak plainly that we sold between December '24 and August '25. So the exact number will be tough to assess, but one, it is positive to group margin, and we could say a couple of basis points, a bit more at group margin level for 2026. So not a step change. It is more positive on the division, of course, group-wise, a few basis points. When it comes to the second question on the M&A dilutive or the scope dilutive contribution to certification, I think it's important to come back to what we said in March '24. The LEAP plan is not only a plan of a pure financial performance is financial performance and investment at the same time. And in this segment, certification, what we are building, we are building solution we are supposed to and capable to scale beyond the domestic market. So we've made a couple of acquisitions with strong position in their native market, home market, and we actually grow them outside their comfort zone to be within a wider area, whether it is Europe for one or all of the U.S. for the other. And this come with a cost, and I think we make no mystery that we are investing. So this is what is happening in 2025 that will resolve in 2026, of course, as it will be payback time.
Hinda Gharbi: Yes. Thanks, Francois. On the Marine division, Suhasini, on the growth, you're absolutely correct. We had expectation that the growth would have moderated probably from last year, simply on the assumption that the shipyards would have taken longer time to reach basically maximum, I would say, throughput. Usually, when you -- particularly if you open shipyards that were mothballed for a while, it does take time for them to come up to speed. And the capacity was building up gradually for the last few years, right? Actually, we were pleasantly surprised that they were much, much better at ramping up than in past, if you like, in past times or in past years. And therefore, the throughput was much faster. And that's really where that growth came in. It really came for the new construction, very, very good cadence that allowed us to convert our backlog very quickly. Now -- as we look forward, first of all, our backlog, I mentioned earlier, is 35 -- over 30 million gross tons, 23% year-on-year growth. We have a very comfortable and solid backlog. We have a very good team in place that has been doing all these great work. Really, we have everything with us and the shipyards are progressing, but we have reached that capacity. Now I am not necessarily able to say will there be many new shipyards that can open and come up to speed very quickly or not. And therefore, with everything we know today, we think there will be moderation of the growth from -- essentially from the 14% you have seen to something in the high single digit. This is how we think about mid- to high single digit. It all depends whether the shipyards can move much faster or can be much more productive than what we thought. But today, that's the, I guess, the limited visibility we have. It's the one time that I will say, I hope I'm wrong on this one, but we'll see.
Operator: We'll now go to Geoffroy Michalet of ODDO BHF.
Geoffroy Michalet: Congratulations for those very nice results. Three questions for me. First one would be for Francois maybe. What is your unspeakable target for working cap since it is always improving now. You haven't set a formal threshold you would like to reach or flow, let's say. The second question is on your M&A pipeline. Do you have confidence it could accelerate on, let's say, larger transaction? And the third question is on AI again, but maybe on another angle, the angle of potential threat or newcomers or new solutions that you are seeing on the market?
Hinda Gharbi: Absolutely. Thank you, Geoffroy. Francois, do you want to address the working capital.
François Chabas: Geoffroy, it's a difficult question. Just to remind everyone, you don't come from a 10% working cap of revenue to 3.4% with magic. It's been done the good old way, just making sure our clients are paying on time. And from a situation that where somewhat -- somehow the cash element was a bit less considered, less regretted as what it should have been. So we've put back the discipline in place each and every year. I'm very pleased with having gone below the 4% leverage threshold. I'm not -- I will not commit to a further downside. We still have options, by the way, we still have the option to further improve. But I would say, I think it's no mystery. We are getting very close to some kind of natural threshold the bulk of our business, 70% of our business is inspection related. So by definition, you work a week or 2 or 3 and then you invoice. So contrary to our lab segment of our business, which operate on a daily basis and where working cap can go as low as 0% inspection, you reach a threshold. So I would say I would be very happy if we stay for the coming year around the 4% working cap of revenue. We have ammunition to go a bit below, but it's too early to commit. I'll let you know perhaps more when we cross the June line on how we progress.
Hinda Gharbi: Thanks, Francois. On the second question, Geoffroy, on the M&A. Look, the M&A pipeline is there. We have several multiple midsized or bigger than the bolt-ons you have seen recently targets that we are follow looking at in very specific markets that are of interest to us. So it's not an issue of pipeline. It's a matter of finding the right target that can be not only response to our strategic needs, but also can be integrated and scaled in an optimum way, allowing us to actually deliver the returns we want. So it's an equation that needs to balance all that. And that's why we could say with confidence that within 12 months, we'll be able to continue to rotate the portfolio. I think our M&A program is going in a way, is addressing what we need. There are a number of things we would have liked to do slightly faster, but not at any price. And that's very important that we have that balance between delivering what we need for the portfolio so we can progress with our growth agenda, but also making sure that our returns fit within the parameters that we have fixed for ourselves. So no concerns there in terms of availability of targets. Now looking at the AI question, look, I think 2 things. I think it's very important to step back and say, and that's something I tried to address earlier in my remarks on the AI, what do we do and why we are needed. I am not concerned today that we will be completely replaced by AI for a very simple reason. We have we are necessary for that trust. And what does it mean? It means that you have an entity, a structure that can actually be in the loop to, in a way, assess whatever decision or whatever transaction or whatever asset is being built or reconstructed and needs to validate that. That will require a human in the loop, a human in the lead. Now that is not a license to be complacent and not do anything. I think the biggest threat today for us is to essentially be too slow to adopt AI. I think the urgency, and I tried to say it earlier, is to adopt AI very quickly because that is the catalyst, the turbo factor, if you will, to be able to grow faster. And I think with the technology movement, with the cadence of innovation, you cannot adopt this technology in the way we have -- we may have adopted other technologies before. So urgency is important. We believe strongly that our brand, the fact that you need the human judgment on many, many of the decisions we actually participate in to support customers and to protect them, to protect their risks and their liabilities gives us that moat today. But again, not a license for complacency. It's very important that we adopt the technologies very quickly. Now you mentioned whether there are newcomers and others. There will always be players who would want to find space like the TIC sector where you have lots of people and lots of data. But what a lot of these natives miss is that there is domain expertise and there is the brand that is actually necessary for our customers to secure their risk and to secure themselves against liabilities and show that there is actually a third party who has confirmed what they're doing and has assessed what they're doing. So I hope that answers your question. But I think the key thing probably to retain is we need to remain paranoid, so we can move very fast. And we'll come back to you with progress in the coming publications.
Operator: Next question will be coming from Virginia Montorsi of Bank of America.
Virginia Montorsi: I just had 2 quick ones. On the margin side, could you help us understand a little bit how to think about industry margins specifically into next year? I think we've touched on all other divisions, but this one. And then just one last question on AI. What are -- I think one of the questions we get sometimes from investors is the ability of testers to maintain pricing power as you guys adopt AI and whether or not customers could potentially ask to be charged less as they know you incorporate AI. So I just wanted to ask how do you think you can leverage your kind of organization and maintain good pricing? And how should we think about that?
Hinda Gharbi: Thank you, Virginia. Francois, do you want to comment on this.
François Chabas: Yes, sure. So industry, if you again, contextualize a little bit, we had a couple of years with a good momentum from a margin point of view on industry. 2025 have been somewhat a bit disappointing if you look at it on a full year basis. I made some comment about it, but the last -- the second half of the year, we had a bit of a change of mix of service because some of the contracts we were expected to render or to deliver, sorry, in H2 have been moved to Q1 and Q2 2026. These are big shutdowns without going into details. But to give you an idea, if you are running a refinery, you need to shut down your refinery for 2, 3 weeks to make the necessary checks, during which we sent 70 to 100 people. And obviously, the decision on when these shutdowns happen is in the hands of the customers. To some extent, you have ranges during which they can do it. And we were actually expecting more of them to be done in H2. It happens that it will be more in H1 2026 instead. So we do not consider the 2025 margin as a normative one. We should see incremental in 2026 on that segment. I don't know if that answer your question.
Hinda Gharbi: All right. Thanks, Francois. Look, on the AI implementation and the so-called deflationary risk, I think it's very important to step back and think about what is really our business model and how we operate. The bulk of our businesses are service fee models. Yes, of course, there are people doing the work, but it's a service fee model. And the way we think about AI integration into our workflows and into our work is it's very important that we articulate the value for the customer from efficiency. If efficiency is only about reducing people, that's not really a value proposition for the customer. So we consider that the integration of AI not only will bring in that efficiency in how people work, but it also will add value to the customer. I'll give you a couple of very specific examples. If you go to high-risk environments, when you send people to high-risk environments, you're actually creating a burden for your customer, whether it's a mining site, an oil and gas [indiscernible], a ship, anywhere there are risks, you're requesting logistics, you're requesting actually -- this is an exposure of people in their facilities, it's time it takes and so on. So less time is actually value for customers. And that's very, very important to be clear on. So we consider that because the bulk of our work is actually in service fee model, we will price differently as we progress. We will have to think of pricing in a different way and really value price. Of course, it's a massive change management in our -- in an industry that is used in a very specific way to price, but that's how we think about it. We don't think it's a fatal kind of risk. We think it's a risk if we don't act on it and we don't really value price, but we think it's manageable. Now of course, there is a small piece that is billable hour. And when you have billable hour, the customer will be even more insistent that they want you to reduce their price. And this is where service quality, customer experience will come in. You have to flip the equation, if you will. You have to make sure that you're not actually only focusing on that number of people that you're going to pull out. You have to think about how you're doing the work and what does it mean for the customer in terms of essentially service quality, turnaround time, whatever parameter will be valuable for them in their own sector and their own circumstance.
Operator: Ladies and gentlemen, due to time constraints, we have time for one question. And the last question today will be coming from Allen Wells of Jefferies.
Allen Wells: Three quick ones from me, please. Firstly, just on the balance sheet and capital allocation. Obviously, balance sheet leverage is in a good place at the lower end of your 1 to 2x range. Free cash flow was strong. The buyback was obviously in line with what you announced last year. But how should we read into this in relation to capital allocation? How should we think about the cadence and size of bolt-ons versus the potential for further buybacks over the next year or 2? That's my first question. Second question, just circling back on AI. But from the other side, how do we think about the level of investment that's going on internally at [ BVI ]? How should we think about that from a CapEx and OpEx perspective and where we may start to see that in the numbers? And then finally, and apologies if I missed it, just on the consumer margins were strong, up 55 bps, I think, organically in the year. Just looking for a little bit more detail about what's driving that and how we should think about the cadence of further margin progression on the consumer product business into 2026?
Hinda Gharbi: Right. Thank you, Allen. Francois, you want to address the margins for...
François Chabas: So for consumer, I think you're right to point out, it's been -- you had good incrementals. I think this is coming -- first, it's here to stay. It's not a one-off or any exceptional event. And it's based on 2 very deliberate action we've led now for 2 years, one which is rather visible. I mean, I think in that mentioned this division, Consumer Products has today -- is operating today 10% of its revenue coming from a totally new business compared to what it was at the end of 2023. So we have -- here, we have made very little divestment. Here, we have made add-on, and we've purchased 10% of the current revenue compared to where it stands. So -- and obviously, we've made some bets in terms of acquisition, which are paying off with good margins, good incrementals. So the M&A or the portfolio reshape again -- and actually, to be very fair and transparent with you, this has started even before we announced the plan. We went to the market in March 2024. We had designed the plan with the -- our consumer product team in the if I remember, was back in Hong Kong somewhere in September '23. So this -- they are a bit ahead of the game, I would say, in terms of deploying capital to reshape the portfolio. So that's one to say, a good half of the explanation. The second half of the explanation is we have been working over the last 2 years to in practical term, exit, reduce, limit our exposure to some distressed segment of the tech part. So you remember, you have the consumer -- the traditional product testing, [ softlines ] like toys, 2/3 of the business and 1/3 is tech. In this tech division, subdivision, we had some weak parts there that we discontinued. So I think some of you have noticed that the top line momentum in '23 -- in '24, '20 and early '25 was somewhat weak on tech. It is as well because of those actions we took. And obviously, when those businesses are out, then the margin is back up. And that's why I'm saying it's a sustainable improvement, and we expect this improvement to continue in 2026.
Hinda Gharbi: Thanks, Francois. On the balance sheet, Allen, I mean, we have headroom in the balance sheet is very clear. You mentioned it. For us, as we said, we're very clear on what we need. We're monitoring the market. We have pipelines we're working on, and we will balance when we buy. And when we buy, we have that room in the balance sheet, which means that any consideration for additional shareholder return, we'll have to take that into account. Of course, it's very important that we continue to execute our portfolio agenda, growth agenda, and that entails continuing to do bolt-ons, but also very specific M&As in very specific sectors. We have the room. And then when the time is right and we can also do shareholder share buybacks, we will consider that. And that's really what we just did this year, just now when we announced it today. On the -- and the other thing I think is very important to mention is -- the -- I mentioned earlier, we mentioned it a few times. We said we have rotated already circa 10% of our portfolio, and we will double that in the next 12 months. I think that gives you an indication that we have a number of things we will be working on -- we are working on for the next 12 months. All right. The third question is on AI. The investments. Look, we said investments will be between 2.5% and 3% in 2026. We were below that in 2025, as mentioned by Francois. And we have already slotted in investments for AI. And digital, I would say we have a program ongoing, which was always part of our performance programs from the get-go that part of our operating leverage and functional scalability gain will be reinvested in the business as we modernize our product line. So do you want to give anything else on the investments?
François Chabas: On the investment, I think today, we maintain what we've said during the Capital Market Day in terms of CapEx intensity, anywhere between 2.5% and 3%. That's where we intend to stay. However, as Hinda mentioned, it's somewhat of an increase compared to the very disciplined approach we had in the first 2 years of the plan. But we don't derail from this. There may be, however, some -- indeed some need in the next year within this range.
Hinda Gharbi: Absolutely. All right. I hope that answers your question, Allen. I understand this was the last question. So just a few things to say prior to closing. First of all, I'm very, very pleased with the results that our team have delivered in 2025. It has been, I would say, quite an interesting year to say the least, 2025, but the team have delivered very well. It's fully in line with our LEAP 28. 2026 is our third year. We're looking to accelerate a number of programs. And I think our guidance give you confidence that we have very solid plans to support our growth and performance ambitions. Thank you very much.
François Chabas: Thank you.